Operator: Good day, and thank you for standing by. Welcome to the 2020 Bulkers Ltd. Earnings Call for Quarter 2 2021. [Operator Instructions] Please be advised that today's conference is being recorded on Wednesday, the 11th of August, 2021. 
 I would now like to hand the conference over to your first speaker for today, Magnus Halvorsen. Please go ahead. 
Lars Halvorsen: Thank you, operator. Welcome, everyone, to the Second Quarter 2021 Earnings Conference Call for 2020 Bulkers. As usual, I'm also joined here today by our CFO, Vidar Hasund. 
 Before we start the presentation, we'd like to remind you that we'll be discussing matters that are forward-looking in nature. These forward-looking assumptions are based on the company's current views with regards to future events, and they are subject to risks and assumptions that are subject to uncertainties. Actual results may vary materially. 
 And with that, I'll move over to the highlights for the quarter. 2020 Bulkers generated a record net profit of $17.1 million in the second quarter. We maintain the track record of having been profitable every quarter following the delivery of our first vessel in the third quarter of 2019. We continue to outperform the Capesize Index during the second quarter, and we achieved average time charter equivalent earnings of $39,500 per day compared to the Baltic Capesize Index, which was approximately $31,000 per day in the quarter. 
 For the months of April through June, we announced a total of $0.75 per share in cash distributions and dividends. This equals an annualized yield of just under 25% based on today's share price. 
 Then over to some of the key events so far in the third quarter. So far this quarter, we have earned approximately $40,100 per day across the fleet. This compares to the Baltic Capesize Index average of $31,500 per day. 
 Today, we also announced another cash distribution for the month of July of $0.26, which is up $0.02 from the previous months. Last week, our vessel, the Bulk Shenzhen, was involved in an accident on the Yangtze river in China. Following procedural investigations and formalities, the vessel went back on hire after approximately 2 days and proceeded to discharge the cargo on board. The vessel is currently in the repair yard in China, and we expect that the total yard stay will take approximately 15 days. We estimate that the total cost of the accident, including loss of revenue, will amount to approximately $1 million. 
 With that, I will leave it over to Vidar. 
Vidar Hasund: Thank you, Magnus. 2020 Bulkers reports a profit of $17.1 million for the second quarter of 2021. Operating profit was $19.6 million and EBITDA was $22.5 million for the quarter. Earnings per share was $0.77. 
 Revenues were $28.4 million in the second quarter, and the average time charter equivalent rate was approximately $39,500 per day gross. Vessel operating expenses were $4.3 million in the second quarter, which is an average of approximately $5,900 per day per vessel. Vessel operating expenses includes approximately $200 per day per vessel in COVID-19-related expenses. 2020 Bulkers had a total of 728 operational vessel days in the second quarter. 
 G&A for the second quarter was $0.8 million. Interest expense was $2.4 million in the second quarter. The company paid approximately 3.4% in average interest rate on the company's long-term debt. 
 Shareholders' equity was $148.1 million at the end of the quarter. Interest-bearing debt decreased from $246.4 million at the end of the first quarter to $242.7 million at the end of the second quarter, reflecting scheduled repayments. 
 The company reports cash flow for operations of $20 million for the second quarter. Cash and cash equivalents were $22.2 million at the end of the quarter. The company declared total dividends and cash distributions to shareholders of $0.75 per share for the months of April, May and June 2021. 
 That completes the financial section. And now back to you, Magnus. 
Lars Halvorsen: Thank you, Vidar. As you know, 2020 Bulkers has a policy to pay free cash flow to shareholders on a monthly basis. 2020 Bulkers has returned free cash flow for 13 consecutive months now. Our Q2 dividend and cash distribution of $0.75 per share equals approximately 25% annualized yield based on today's share price. To date, 2020 Bulkers has returned 27% of the total paid-in equity to shareholders. 
 The Capesize market has had a very strong development, in fact, the strongest development in the last 10 years. Year-to-date, rates are close to 2.5x higher than what we saw last year. At current rates, taking into account the premium we are getting on our Newcastlemax scrubbers, our index vessels are earning around $50,000 per day. 
 So what is driving the strength? First and foremost, strong iron ore volumes out of Brazil, which were up approximately 11% year-to-date. We believe based on the company's guidance that Vale will continue to increase their production volumes in the second half of the year, which has continued to lend support to the market. We're also seeing increased coal volumes being exported with around 6% export growth globally year-over-year. Trade patterns are beneficial and supported with China taking more coal from the Atlantic and Australian coal having to target market further way than China. 
 Lastly, we will continue to see modest fleet growth this year with an order book of 18 million deadweight ton compared to 25 million deadweight ton delivered in 2020. 
 Over to the next slide. Even if Capesize spot rates are the strongest we've seen in a long time, they're actually quite modest compared to the value of the freight we're carrying. Historically, freight rates from Brazil to China has been approximately 16% of the value of the iron ore. If you refer to that average, current iron ore prices would support rates for standard Capesize of around $42,000 per day, which will translate into earnings of approximately $57,000 per day for our scrubber-fitted Newcastlemax. 
 As mentioned many times, 2020 Bulkers' main mission is to give shareholders a good return through monthly dividends. As you can see from this sensitivity table, which takes into account the fact that we have 2 ships at fixed rates and 6 ships at index-linked rates for the remainder of the year, our dividend potential is significant. We will not give any guidance on rate expectations, but as a reference, the FFA curve for the remainder of the year, currently sits around $37,000 per day. The current spot rates, it's just shy of that. But taking as an illustration, the FFA curve, that could potentially translate into a run rate dividend of NOK 36 or NOK 3 per month, which based on today's share price, is a run rate yield of approximately 30%. 
 We'll now review some of the key market drivers. Chinese steel production for January through June 2021 was up 11% compared to the same period in 2020. The Chinese government has during recent months imposed restrictions of steel production in certain areas in order to limit pollution. June showed a sequential 6% decline in Chinese steel production compared to May. However, production was still 2.5% higher than June 2020. 
 Steel production in the rest of the world has already recovered beyond the levels we saw prior to the outbreak of COVID-19. And it's expected to recover further once vaccines against the pandemic are widely distributed. Steel production outside of China increased by 16% for the period of January through June 2021 compared to the same period last year. And the month of June showed an increase of 27% year-over-year. As various infrastructure-spending initiatives are implemented, it's expected that the growth in steel demand in the rest of the world will overtake China as a growth engine. The World Steel Association estimates that the global steel demand will grow by 5.8% this year, with China growing only 3%. This suggests that the rest of the world will see a growth in steel demand of close to 10%. 
 Then on to look at the iron ore market in some more detail. Total exports of iron ore globally is up 2.5% year-to-date compared to the same period in 2020. Taking a more detailed look, we see that Chinese ore imports have cooled off in recent months and are currently down 1.5% year-to-date compared to last year, while iron ore imports ex China are up 7% compared to the same period last year. 
 We suspect the recent pullback in Chinese iron ore imports may be linked to desire to call down commodity prices. We think it's likely that Chinese imports will stabilize or accelerate at some point as Chinese steel demand continues to grow and Chinese iron ore inventories did not really have a lot of cushion given the current standard only 1 month of forward consumption. 
 Over to take a look at Brazilian production and Vale, specifically. The correlation between quarterly Vale iron ore production and Brazilian iron ore exports has been 96% over the last 12 months. This suggests to us that each incremental ton Vale producers finds its way to the export market. Vale produced 75.5 million tons of iron ore in the second quarter, and they're guiding for a daily production capacity of 1 million tons per day in the second half. Assuming this production is going to the export market and conservatively assuming demand for iron ore is flat and Brazilian iron ore mainly displaces Australian iron ore as exports to China, the potential incremental volumes in the second half would require 49 incremental Capesize vessels. This stands against current order book of Capesize and larger vessels between now and the end of 2021 of only 32 vessels, which just suggest that there's a potential for further tightening in the market in the second half of the year. 
 We continue to believe the supply side dynamics in our market are the most attractive seen in more than 30 years. The Capesize order book is around the lowest levels in the last 3 decades and currently stands at around 6%. Capesize ordering last year was the lowest in 20 years. And in light of the recent massive order in the container space, there's very little yard capacity available for new orders before 2024. In fact, our channel checks suggest that Chinese yards are currently marketing only around 15 Capesize or Newcastlemax newbuilding births between now and 2024, which is very modest given we're looking at a total fleet of 1,700 ships a day. 
 So far this year, we've still seen 22 Capesize scrapped in spite of healthy markets, and we expect to see more scrapping in light of the new upcoming environmental regulations in 2023. Again, we'll give a quick update on where the industry stands with regards to upcoming regulations. This all goes back to 2018 when the IMO adopted the target to reduce CO2 intensity from international shipping with 40% by 2030, measuring from the 2008 baseline. As a consequence, EEXI and CII will be introduced by January 2023. 
 Noncompliant ships may comply by applying various performance-enhancing measures, which will require significant investment, more likely they will have to go for a reduction in the engine's power outputs, which again will lead to a large part of the fleet having to slow down its effective trading speed. Following the IMO meeting in June, ABS, the [ classing ] agency, estimated that more than 80% of bulk carriers will require some kind of improvement to compliant with EEXI and CII. 
 Lastly, before we go to the Q&A, I'll just summarize what we believe is the 2020 Bulkers' investment case. We have the most modern fleet on the water of any listed company with 8 Newcastlemax, average age just over 1 year. Today's market, our index vessels earn around $50,000 per day at the current Capesize spot rates, which stands very strong against a 2021 cash breakeven budget of $14,500 per ship per day. 
 The FFA curve for the remainder of the year implies the time charter equivalent earnings for scrubber-fitted Newcastlemax of around $50,000 per day, and we pay all our free cash flows as monthly dividends. We see some visibility in the market as we're looking at the most favorable supplies dynamics in more than 30 years, and we believe that will last at least through 2024. 
 On the demand side, which has been stable over time with growth 28 of the last 30 years for the key commodities traded in our segments, we do expect the continued recovery as the world restarts post-COVID. 
 And with that, I'll leave it to over for questions. Operator? 
Operator: [Operator Instructions] Our first question is from the line of Frode Morkedal from Clarksons Securities. 
Frode Morkedal: You mentioned 15 Capes new build slots in 2024, which is very low. And I'm just curious if you know what type of price level that would be, right? And I know that you don't consider ordering ships, but curious to know what type of price level that reflects? 
Lars Halvorsen: Yes. I think based on the most recent inquiries we've done simply for benchmarking purposes rather, we are somewhere, I would say, $63 million plus per ship delivering in 2024. 
Frode Morkedal: That's for Newcastlemax or Capes? 
Lars Halvorsen: No, that is for a Newcastlemax. 
Frode Morkedal: Okay. Including scrubber? 
Lars Halvorsen: Yes. I think all in, if you're looking at the new project with the scrubber, with final makers list and newbuilding supervision, I'd be surprised if you could do something below $65 million at the end of the day, $64 million, $65 million. 
Frode Morkedal: Yes. Interesting. Yes. So it seems like the supply side, there's very compelling, right, particularly if you assume some type of slow steaming due to the IMO regulations. So I'm curious to know if you look a bit closer into next year, how concerned you are about, for example, the normally seasonally weaker Q1 coming up? And in that respect, would you consider swapping some of your floating rate time charters into fixed rate? 
Lars Halvorsen: Yes, I think that's something we, of course, look at literally every day. And you are right, I mean in our market, typically, you have Q1 as the weakest quarter by far. And what you've seen in previous year is that we have taken some coverage through Q1. I think this year, we chose to cover 2 ships going into Q1. We will most likely be doing something similar, whether it's 2 or more. I guess we'll have to see. It really depends on what the curve looks like at any point in time. 
 But I think although we are bullish on the market, we will always seek to have a sensible balance by taking some cover, particularly through the weaker periods, which effectively then, of course, lowers the cash breakeven for the remainder of the fleet. But I think if you look at the curve, it's the FFA curve, which essentially sets where you can cover for any given period. It tends to move quite a lot with the spot market. 
 And if you remember this year, I mean, as recent as in December, the FFA market was trading -- sorry, last year in Q4, the FFA market for Q1 was trading around $9,000. We ended up pricing out at [ $17,000 ]. And just given the outlook that we have for the next couple of months, in particular with the most recent guidance from Vale suggesting they'll hit the capacity of 1 million tons per day. I think we see a good likelihood that the spot market could move, and we would expect that to move the curves a bit, and maybe that's the time to take some coverage for next year. 
 But I think the bottom line is we do manage risk, and we'll continue to that, both in good and bad markets. But our bias is clearly that we believe we have some decent years ahead of us. 
Frode Morkedal: Yes, makes sense. Just out of curiosity, when do you have to decide? I mean if you want to have like a fixed cover for Q1 and maybe Q2, when do you have to decide? And can you decide the duration of that fixed part of the contract? I mean some of these charters last well into 2022? 
Lars Halvorsen: Yes. Generally speaking, we have conversion clauses where we can convert to fixed periods from -- anything from 3 months and onwards. And that's done on the basis of the FFA market, which, as you know, is a quite liquid market. So effectively, that's a decision we can do any day subject to liquid in the market, but the liquidity is there. So I guess any time between now and the first quarter is when we could do some cover. 
 And then I guess it's a question of whether when you do take some fixed cover, do you do adjust for Q1? Or do you do Q4 and Q1 to get the blended average, that's a bit higher for the first quarter? That type of thing we're looking at and very actively monitoring the curve from day to day. 
Frode Morkedal: Okay. So it's actually you that do the hedging on the FFA market? 
Lars Halvorsen: No, we don't do the actual hedging. I mean we have a conversion clause in our index-linked time charters, but the pricing mechanism is based on the FFA curve. And I can't speak for clients, but I think it's fair to assume that they are hedging out when we are converting. So we are not tying anything up in margins or taking any kind of mark-to-market risk in that sense. We're converting to a fixed rate, which is based on the forward curve. 
Frode Morkedal: Yes. Okay. Yes. Okay. So finally, I mean, what do you think about the impact of port congestion in the dry bulk market? And what do you think about that when you look ahead into next year? How bullish or concerned are you based on that? 
 [Technical Difficulty] 
Operator: Apologies, please hold while we reconnect Magnus. Magnus is now back with us. 
Lars Halvorsen: Sorry about that. I don't know what happened. I got cut off. 
Frode Morkedal: Did you get my final question on port congestion? 
Lars Halvorsen: No, I didn't. Sorry about that. 
Frode Morkedal: Okay. Yes, I just asked like port congestion seems to be an important part of the strength this year, increasing port conditions, that is. And I'm curious if you have any insight to that? And where are you concerned about that normalizing or even worsening next year, right? And the general outlook for 2022, really? 
Lars Halvorsen: Yes. I think, of course, there is some meaningful congestion in the market right now, but it's actually varied. I mean it came down quite a lot in June and now it's gone back up again a little bit. 
 I think the logistical issues that we are seeing due to COVID. With our overall vaccinations are being spread out, they're not showing any signs of easing for the time being. Of course -- so I won't really make a call on whether it's going to get worse or flatten or not. But let's assume it normalizes over the last couple of years in the world -- next couple of years in the world tackles COVID, a lack of a better word, that on an isolated basis will have a negative impact on the market. 
 But then on the other hand, just the baseline supply-demand equation, we think looks so good. You have, as I alluded to the call, if you look at the typical commodities we paid, which is iron ore, we also compete with ships that create a lot of coal. Those 2 commodities combined has grown in seaborne transport in 28 of the last 30 years and they've grown by around 4-plus percent. And we're now looking at an order book of 6% gross, which is delivering over a number of years, then you will have scrapping on top of that, and you're likely to have some parts of the fleet having to slow down in new environmental regulations. 
 So I think if you -- it's only variable was congestion. The other variables that we see suggest a tightening market. So we're still positive on the outlook even if we were to see a normalization also on the congestions. And again, that's what we saw a little bit in June, and still we have average rates of about $30,000 per Capes in June, which is not typically the high season of the air. But there's no sign of kind of imminent improvement, at least in that situation. 
Frode Morkedal: Yes, I agree. 
Operator: [Operator Instructions] There are no further questions that are coming through. I'll now hand back to the speakers for any closing comments. 
Lars Halvorsen: Okay. Well, if there are no further questions, I think that concludes the call for today. And thank you, everyone, who dialed in, and we'll speak again next quarter. 
Operator: Ladies and gentlemen, that does conclude the call. Thank you all for your participation. You may now disconnect.